Operator: Good morning. Welcome to the Byrna’s Fiscal Third Quarter 2023 Earnings Conference Call. My name is Rob and I’ll be your operator for today’s call. Joining us for today’s presentation are the Company’s CEO, Bryan Ganz, and CFO, David North. Following the remarks, we’ll open the call for questions. Earlier today, Byrna released results for its fiscal third quarter ended August 31st, 2023. Copy of the press release is available on the company's website. Before turning the call over to Bryan Ganz, Byrna Technologies’ Chief Executive Officer, I will read the Safe Harbor statement. Some discussions made held today include forward-looking statements. Actual results could differ materially from the statements made today. Please refer to Byrna’s most recent 10-K and 10-Q filings for a more complete description of risk factors that could affect these projections and assumptions. The company assumes no obligation to update forward-looking statements as a result of new information, future events or otherwise. As this call will include references to non-GAAP results, please see the press release in the Investor Relations section of our website, ir.bynra.com for further information regarding forward-looking statements and reconciliations of non-GAAP results to GAAP results. No, I’ll like to turn the call over to Byrna’s CEO, Bryan Ganz. Sir, proceed.
Bryan Ganz : Thank you, operator. And thank you everyone for joining us today. This morning, we filed our 10-Q with the SEC and issued a press release providing our financial results for the fiscal third quarter ended August 31, along with key business accomplishment. To begin today's call, however, I'd like to share some highlights and recent developments, including a discussion of the actions we're taking to address the recent DTC marketing challenges. Afterwards, I'll pass the call over to David to discuss our financial results in greater detail. And following that, I'll offer additional insights into our performance and our forward-looking strategy. And as usual, we will open the floor to questions from our publishing analysts at the end of the presentation. Okay. As we previously announced a few weeks ago, our total revenue for the third quarter was just $7.1 million, down from $12.4 million in the same period last year. This significant decline was due primarily to the advertising restrictions imposed by Meta and Google in March of this year. And interestingly, Twitter, the self-proclaimed last bastion of free speech, also banned Byrna advertising two months later. When these major platforms imposed their advertising bans, it had an immediate negative impact on daily web sessions. In the period from December 1, 2022 through March 31, 2023, while we could still advertise on these platforms, we averaged approximately 24,000 daily web sessions on Byrna.com. In April, just after the advertising ban, that number dropped to 10,570 daily web sessions. It took several more months for the advertising ban to negatively impact sales due to what we call the tail effect, where consumers that were reached prior to the advertising ban continue to come back to the Byrna site to make purchases. However, by the third quarter, we encountered a significant decline in sales and in new customer acquisitions. Specifically, daily sales, which at average $55,000 through March, declined by 20% in Q3, falling to just $44,000 a day. And our new customer acquisition rate declined from 55% in the period prior to the advertising ban to just 50% in Q3. We have responded to these challenges by pivoting, completely changing our advertising strategy. So, rather than rely on social media sites to reach new potential customers, as almost every business does today, we started advertising on talk radio. At the same time, we kicked off a non-social media online advertising effort. We commenced our online advertising efforts in August and commenced advertising on the Sean Hannity afternoon drive time radio show on September 5th. While our online advertising efforts in August generated some additional sales, the results were initially muted as we had yet to understand how to optimize our spend. Instead, we threw everything against the wall to see what would stick, advertising across six different markets with six different pieces of creative. This included advertising to boaters, RVers, runners, realtors, veterans, convenience store owners. As a result, our combined ROAS, or return on advertising spend for August, was approximately 2.5x, meaning for every dollar of spend we had $2.5 in sales, certainly nothing to write home about. That said, certain markets and certain creatives did much better than others, and we were able to use this information to optimize our spend in September. Almost immediately in September, we’ve observed a significant increase in sales sessions and new customer acquisitions. For September, average daily sessions increased by 89% from Q3 to 22,400, nearly matching the levels we saw before the advertising ban on social media. This led to average daily sales in September of approximately $77,500, a 76% increase from Q3, and a 40% increase from the period prior to being kicked off of Facebook, Instagram, Google, and Twitter. Most notably, our new customer acquisition rate rose 14.6% from Q3 to 65% in September. We have continued to see this upward trend in the first 11 days of October, with daily sessions increasing by 168% compared to Q3, hitting 30,856 daily sessions. This is a 29% increase from the period prior to being kicked off of social media and represents a new record for Byrna. Average daily sales for the first 11 days of October were up a staggering 161% from Q3, averaging $114,902, and our new customer rate climbed to 65.2%. Despite the influx of first-time visitors, our conversion rate climbed to 0.91% compared to 0.75% prior to the advertising ban. We have also seen similar results on Amazon. When radio listeners hear our ads, they often search for our products on Amazon. Before the advertising ban on social media, we were averaging $14,700 in daily sales on Amazon. During Q3, after the ban took effect, daily sales dropped by over 25% to just around $11,000 a day. However, with the launch of the Hannity campaign and our online advertising in September, average daily sales on Amazon jumped to $22,400, a 104% increase from Q3 and a 52% increase from the period prior to the advertising ban. And this trend has persisted into the first nine days of October, and I'm giving only the first nine days because the last two days have been prime days and are somewhat of an outlier. During the first nine days of October, sales on Amazon averaged $30,000 a day. And October 7th, we sold more than $42,000 on Amazon, setting a new non-Prime Day Company record. Over the last two days, which have been Prime Days, October 10th and 11th, our sales exceeded $250,000, which is a new record for us -- for Prime Days. In the last 30 days on Amazon, sales have exceeded $950, 000, which is an all-time record for any 30-day period on Amazon, including the holiday sales periods. Due to the slow start of the production of our LE, we did not initially offer it on Amazon. We added the Byrna LE launcher to the site in mid-July. Since then, the LE launcher has become the leader in sales on Amazon, surpassing the Byrna SD. We believe that as we refine our advertising strategy, our sales on Amazon will continue to rebound along with our direct-to-consumer sales. So why is all this so important? First, it confirms that we can reach customers without relying on social media. I know that this was a big question in the wake of our announcement of the social media ban at our last earnings call. And although we are only six weeks into the new advertising initiatives, celebrity endorsements on the radio have proven to be highly effective, evident by the increase in sessions and the improved conversion rates. We are currently in discussions with four other celebrity endorsers that speak to different audiences. This approach is much more work than simply placing ads on Starz and social media sites as we must identify, contact, cajole, vet, educate, charm, and work closely with these individuals and their teams. But honestly, that's what you're paying us for. Secondly, the success of the current campaign confirms that we have not saturated the market or captured all the low-hanging fruit. Because as our sessions grew, so too did our sales. We did not see any decline in conversion rates despite the significant increase in new customers coming to the site. In fact, we saw just the opposite. In the first quarter of calendar ‘23, our conversion rate averaged just 0.63%. Since September 1st, our conversion rate has averaged 0.88% despite our new customer rate jumping to 65%. This tells us to paraphrase Field of Dreams. If we can get them to the website, they will buy. This means that our primary challenge is to increase public awareness of Byrna and to educate both civilians and law enforcement professionals that there is a safe, effective, and reliable alternative to deadly force. I believe that we've only begun to scratch the surface in this regard. Well, Sean Hannity has the number one talk radio show in America. He reaches only 7.5 million Americans each month. We need to reach all Americans so that Byrna becomes as well-known as TASER. Thirdly, the success of these initiatives reaffirms my confidence in the team here at Byrna. When faced with adversity, the team rose to the occasion. When the stock price fell more than 90% to new lows that we've not seen since the company was doing just a few thousand dollars in daily sales, which put everyone's options significantly out of the money. When every analyst downgraded Byrna and drastically reduced their forecast, when nobody believed that we could turn this around, no one here at Byrna gave up. No one threw in the towel, in fact just the opposite. The team at Byrna stepped to the challenge, figured out a way forward and executed. When I was just a boy, my dad taught me that when the going gets tough, the tough get going, and I can assure you that we have a group of tough SOVs here at Byrna. This is a team that doesn't back down when an obstacle is thrown in their path. This is a team that thrives on adversity. So what does this mean on a go forward basis? First, we've committed to advertising on Hannity throughout all of 2024. We were able to lock in the same rates as this year, despite 2024 being an election year, which will certainly raise Hannity's profile and increase its active listener base. And in fact, we've already seen a rise in traffic from Hannity's audience in the wake of this horrific tragedy in Israel as the viewership and listenership increases. We are also developing fresh video content with Sean Hannity and with Sean and his assistant Lynda will go through training with Byrna's law enforcement training team, all ex-SWAT officers. This will allow us to expand our cooperation with Sean beyond his radio broadcast. Using this freshly created video, Sean will promote Byrna on his website and through his social media platforms and email. In addition, we'll be able to use this video content outside the Hannity ecosystem as we see fit. As part of the agreement with Hannity, we're entitled to a certain number of email blasts, social media posts, and even a live appearance. We expect that as we expand our cooperation to include these other non-radio initiatives, we'll see the ROAS on our Hannity spend increase further. Additionally, as I mentioned earlier, we're exploring engagements with other celebrity endorsers and iHeartMedia talent for different time slots in an attempt to reach a more diverse audience. One such engagement that we're exploring is an overnight show where the audience is comprised of long-haul truckers, security guards, law enforcement officers, nurses, and other graveyard shift workers. We believe that this audience is ripe for Byrna as they are out and about in the dead of the night. Moreover, the cost of advertising late night is a fraction of the daytime rates. We're also in discussions with other celebrity influencers outside of the iHeartMedia’s table. It is clear from our work with Hannity that celebrity endorsers can really move the needle. We see a higher conversion rate with the traffic that Sean drives to the website than we do with traffic from other online advertising. And while we believe that Sean is somewhat unique given that he is the number one talk show in America and his following is extremely committed to him, it is not inexpensive to advertise on the Hannity radio show. As a result, we believe we can achieve the same type of return on our advertising spend with other celebrity endorsers, not because their reach is as large as Hannity and it's not, but because their rates are lower. Now that we have ample opportunity, inventory of finished goods and our production is running smoothly, we intend to expand our advertising initiatives to reinvigorate sales particularly as we go into the holiday season. Well, it is always difficult and dangerous to extrapolate from six weeks’ worth of data. We are highly encouraged by our ability to overcome the Meta and Google social media advertising ban and we are far outpacing our performance when we were able to advertise on Facebook, Google, Twitter and Instagram. We will continue to closely monitor our ROAS as we fine tune and optimize our marketing strategy for scalability. So despite a temporary dip in overall sales during late Q2 and frankly all of Q3, we believe that we have successfully navigated our way through these challenges and with our revamped marketing strategies and the expansion of our dealer channels with the addition of new premier and side hustle dealers combined with the enormous global opportunities for B Byrna, we are confident that we are well positioned for resurgence and sales growth in the upcoming quarters. Before I go any further, I would like to turn the call over to David to discuss our financial results for the last quarter to get that out of the way. And then I will come back and talk about some of our other initiatives in the dealer and international side. David?
David North: Thank you, Bryan. Let's discuss our financial results for the fiscal third quarter and get this out of the way. Net revenue for Q3 2023 was $7.1 million compared to $12.4 million in the fiscal third quarter of 2022. The decrease in revenue is primarily attributed to challenges in the company's direct-to-consumer marketing efforts, which resulted from reduced advertising during the six months since bans on Meta and Google platforms. Direct-to-consumer sales on the company's website and Amazon accounted for $3.3 million of the decline from the prior year period. Another $1.9 million of the difference was due to lower international sales. International sales are characterized by very large infrequent orders, which were high in Q3 of 2022 at $2.1 million, but low in Q3 of this year at only $0.2 million. Gross profit for the third quarter of 2023 was $3.2 million or 45% of net revenue compared to $6.9 million or 55% of net revenue for Q3 of 2022. The decrease in gross margin was primarily due to approximately $650,0 00 of charges to cost of goods sold for inventory write-downs and additions to reserves for excess and obsolete inventory which were recorded during Q3 of 2023. This charge consisted primarily of about a $400,000 addition to the reserve to cover specifically slow moving inventory. As a relatively new company, we haven't yet had a component of our reserve specifically for slow moving inventory. However, recent high inventory levels and low turns makes it necessary to add this component to the reserve now. Taking these one-time adjustments into consideration, gross margins are consistent with the prior year period. Operating expenses for Q3 2023 were $7.3 million compared to $8.3 million for Q3 of 2022. The decrease in operating expenses was primarily due to reduced marketing spend and ongoing cost management efforts. Net loss for Q3 2023 was $4.1 million compared to $1.5 million for the third quarter of the prior year. The increase in net loss was primarily due to the drop in revenue and secondarily to the addition to inventory valuation reserves. Adjusted EBITDA, on a non-GAAP, which is non-GAAP metric, for the third quarter of 2023, totaled a loss of $2.4 million compared to earnings of $0.3 million for Q3 2022. The decrease in adjusted EBITDA was primarily due to the increase in net loss previously noted. Cash and cash equivalents at August 31, 2023, totaled $13.7 million, $15.4 million at May 31, 2023. Inventory at August 31, 2023, totaled $16.7 million compared to $17.5 million on May 31, 2023. The company currently has no current or long-term debt. And that concludes my prepared remarks. I'll turn it back to Bryan.
Bryan Ganz : Thank you, David. I'd like to provide some additional operational updates from Q3. In addition to our DTC marketing efforts, we continue to build on the strong success of our Premier Dealership Program, which we launched in the second quarter. At the end of Q3, we had a total of 16 Premier Dealers, of which 15 of these were onboarded in the last five months. Just as a reminder, these are brick-and-mortar stores that derive more than 50% of their revenue from Byrna products. In other words, they're dedicated Byrna stores. We are in the early days of our Premier Dealer rollout, but as these dealers become more integrated with our offerings and as we continue to increase the number of Premier Dealers that we have, we expect this channel to contribute significantly to our long-term sales growth. These dealers, in conjunction with participants in Byrna's side hustle program, play a pivotal role in expanding our customer reach with minimal upfront costs. The side hustle program empowers members of the Byrna community to become authorized Byrna resellers and serve as advocates for our products. These dedicated individuals typically operate without any traditional physical store, showcasing Byrna products at trade shows, gun shows, state fairs, boating shows, and other events, and capitalizing on their valuable network of contacts. This alignment not only provides them with a means of a livelihood, but effectively contributes to our growth strategy. During the third quarter, we witnessed substantial growth in this segment of our business as an increasing number of individuals explored the possibility of becoming dealers to the Byrna Side Hustle Program. Notably, Side Hustle Dealers are demonstrating clear pathways to becoming premier dealers, a development that further expands and strengthens Byrna’s network. And looking ahead, we're placing a stronger emphasis on our side hustle program, recognizing that the side hustle program and the premier dealer program are a key pillar of our strategy. We've also made strategic investments beyond simply spending and advertising to stimulate sales growth. First, we've added a dedicated sales member to manage the Amazon web sales. And I attribute some portion of the success at Amazon that I spoke about earlier to the efforts of this individual. We are currently looking to hire similar channel managers for our email campaigns and our social media outreach. We have also expanded our inside sales team. In Q3, we added three new inside sales representatives, bringing our current count to six. Our goal is to have 10 inside sales members by the end of 2024. This team is dedicated to identifying and onboarding smaller, owner-operated dealers across various sectors, including gun stores, outdoor stores, sporting goods stores, boating dealers, trucking companies, and even private security agencies. We see potential in these places to connect with customers who are open to having a Byrna for personal protection. In addition to seeking new Byrna dealers, our inside sales team is tasked with growing our side hustle business, which has shown tremendous promise this quarter. In fact, last week I was notified that one of our dealers that had started life as a side hustle dealer sold more than $50,000 of products at a local fair in one weekend. Like this dealer, most of our side hustle dealers emerge from our passionate customer base, and we periodically advertise to our customer base this side hustle opportunity. This initiative, the side hustle initiative, yielded $1.2 million in business at our best margins, and most payments are made via credit card, eliminating any receivables. With regard to international markets, the story is really about South America. Well, our sales in Latin America for 2023 do not appear in our revenue line due to our accounting methodology. Our success, particularly in Argentina, is noteworthy. In 2023, we have secured significant law enforcement contracts in Argentina. We recently announced in a press release 1,000 launchers being sold to the Province of Cordoba as well as the capital city of Buenos Aires. We are also selling to police departments of Lanus, Tigra, Aziza, all municipalities near Buenos Aires. So far, the Cordoba Provincial police have experienced significant early success deploying the Byrna launchers. According to the Cordoba Chief of Police, there have been more than 40 documented cases of the Byrna being used in various situations to disarm and apprehend suspects, underscoring the need for less lethal solutions in this market. Our growing foothold in Argentina is really a testament to the effectiveness and demand for less lethal law enforcement solutions in this region and frankly globally. And our success in Argentina has been further amplified by the presidential campaign in which multiple presidential candidates have been promoting Byrna as a way to stop street crime without the risk of taking a life or causing permanent injury. These sales in Argentina represent validation of our mission that less lethal saves lives and it shows just how large the opportunity is within the law enforcement community. As I said, well these sales are not yet reflected in Byrna's reported numbers. These recent wins underscore the strategic importance of Byrna's LATAM joint venture and the long-term growth potential for Byrna internationally. We view our progress in Argentina as a stepping stone as we expand our presence across South America, particularly into Brazil, furthering our commitment to advancing less lethal security solutions in Latin America. Okay. There's been a lot that we've talked about in this call. Obviously, we've made substantial progress since our last update with these new marketing strategies, expanding our inside sales team, implementing the ongoing initiatives with premier dealers and side hustle dealers, and I firmly believe that we've overcome the ban on social media advertising, and we are well positioned for growth. We are currently cash flow positive. David mentioned that we had $13.7 million of cash at the end of the quarter, at the end of September, that number was $14.4 million, and as of yesterday, it was $14.8 million. And we expect to see continued improvement in our cash position as we continue to work through our excess inventory in coming quarters. This strong financial foundation gives us flexibility in exploring new marketing channels and allows us to make investments in key areas of our business, including bringing on people to manage our email campaigns and social media outreach. And our focus, however, remains on maintaining a strong and robust cash flow trajectory as we move forward. So despite the headwinds we encountered in 2023 and despite what are frankly extremely disappointing results, we believe that we'll finish the year off very strong as we enter into the holiday season. And we remain committed to making Byrna the premier provider of less lethal personal security solutions. And we believe that the actions that we're taking today position the company for sustainable growth going forward. So now I'd like to turn the call over to questions. Operator, if you please.
Operator: [Operator Instructions] Our first question is from Jeff Van Sinderen with B. Riley Securities.
Jeff Sinderen : Good morning, everyone. And great to hear about the increase in web session recently. I'm wondering, can you speak a little bit more about the conversion build you're seeing with the new marketing versus what you saw in terms of marketing on Google and Meta previously and then maybe also speak more about the other marketing platforms that you're looking into or testing?
Bryan Ganz : Yes, as I said, I don't have the numbers in front of me, but I think that we were about 0.65% conversion rate in our first quarter and the beginning of the second quarter through the end of March. And recently that has climbed to 0.9% which is consistent with our long-term conversion rate. So the thing that's so interesting is we expect to see high conversion rates when we have a lot of returning customers because they come to the website with the intent to buy something. So what is so encouraging now is that we have a very high percentage of first-time visitors to the website and new customers, and yet we're seeing the conversion rate increase. In addition to an increase in conversion rate, we are seeing an increase in average order value. So in September our average order value was $352.53. For the first 11 days of October, our average order value is $353.67. And if I look at during the period where we were advertising on Meta, our average order value was much closer to $300 as we had a lot of returning customers that were buying more ammo and more CO2 and more accessories. So again, Jeff, I think as I tried to point out, there was a concern, I know, that a lot of investors had that had we saturated the market, was it going to be difficult to find new investors? And I think the answer is -- new purchasers. And I think the answer is, if we can get people to the website, we can get them to convert. And we can get them to convert at historical rates. So that was, I think, the most encouraging part of this new advertising campaign.
Jeff Sinderen : Okay, good to hear. And then, you just mentioned ammo, so I'm wondering if there's any other color you can give us on ammo sales, and then also if you could touch on the 12 Gauge.
Bryan Ganz : Yes, I mean, our ammo sales remain consistent. I have to say that when we -- when our ammo sales start to become a higher percentage of our overall sales, it's going to mean that we've stopped growing. So during these periods of rapid growth, obviously people are buying new kits, returning customers will come back and buy ammo and accessories. But we've not seen any significant change in our percentage of ammo sales.
David North: Yes, ammo and accessories have remained consistently about 25% of sales and in Q3 that was 26%.
Bryan Ganz : And in terms of 12 Gauge, the 12 Gauge sales honestly have been disappointing. What we've discovered is that less lethal 12 Gauge is not a thing for civilians. The existing market for less lethal 12 Gauge is really a law enforcement market. And although we're making good inroads with law enforcement on 12 Gauge, as I've always said, this is law enforcement is a very lengthy sales cycle. So I remain convinced that there is a good market for 12 Gauge over the long term. But we've not seen any significant increase in it currently. And honestly, our focus over the last several months has been overcoming this social media advertising ban. And every waking moment has been trying to pivot our advertising approach and focusing on our iconic and flagship products. So we really have not done any advertising of 12 Gauge. At this point, everything has really been focused on attracting new customers for the Byrna Launchers.
Jeff Sinderen : Okay, and then just one more, if I can squeeze it in. And just wanted to confirm, I think you said that you expected the cash generative in Q4, including what you're doing with inventory.
Bryan Ganz : That's correct.
Operator: At this time, this concludes our question-and-answer session. I'd now like to turn the call back over to Mr. Ganz for his closing remarks.
Bryan Ganz : I just want to thank everybody for their support during what's been a very difficult period for the company. As I've expressed, I have complete faith in the team here at Byrna. I believe that we were able to identify the problem, find a solution, and implement it in a relatively short period of time. I believe that we are back on our growth trajectory as we will see sales and cash both increases. Again, I appreciate everybody's support. Thank you very much.
Operator: Thank you for joining us today for B Byrna's Fiscal Third Quarter 2023 Conference Call. You may now disconnect.